Operator: Ladies and gentlemen, thank you for standing by and welcome to the Chatham Lodging Trust Fourth Quarter Earnings Conference call. During today's presentation all participants will be in a listen-only mode. Following the presentation the conference will be opened for your questions. (Operator Instructions) Today's conference is being recorded, February 20, 2013. I would now like to turn the conference over to Jerry Daly of Daly Gray. Please go ahead.
Jerry Daly: Thank you, Alicia and good morning, everyone and welcome to the Chatham Lodging Trust's fourth quarter and full year 2012 results conference call. Yesterday after the close of the market Chatham released results for the fourth quarter and full year ended December 31, 2012 and I hope you've had a chance to review the press release. If you did not receive a copy of the release or you would like a copy, please call my office at 703-435-6293, and we'll be happy to email one to you. Or you may view the release online at Chatham's website www.chathamlodgingtrust.com. Today's conference call is being transmitted live via telephone and by webcast over Chatham's website and streetevents.com. A recording of the call will be available by telephone until midnight on Wednesday February 27, 2013 by dialing 1800-406-7325. And a reference number of 4594716. A replay of the conference call will be posted on Chatham's website. As a reminder this conference call is the property of Chatham Lodging Trust and any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Chatham is prohibited. Before we begin management has asked me to remind you that in keeping with the SEC's Safe Harbor guidelines, today's conference call may contain forward-looking statements about Chatham Lodging Trust, including statements regarding future operating results and the timing and composition of revenues among others. Except for historical information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially including the volatility of the national economy, economic conditions generally, and the hotel and real estate markets specifically. International and geopolitical difficulties or health concerns governmental actions legislative and regulatory changes availability of debt and equity capital. Interest rates competition, weather conditions or natural disasters supply and demand for lodging facilities. And our current and proposed market areas and the company's ability to manage integration and growth. Additional risks that are discussed in the company's filings with the Securities and Exchanges Commission. All information in this call is as of February 19, 2013 unless otherwise noted, and the company undertakes no obligation to update any forward-looking statement to conform the statement to actual results or changes in the company's expectations. During this call, we may refer to certain non-GAAP financial measures such as EBITDA and adjusted-EBITDA, which we believe to be common in the industry and helpful indicators of our performance. In keeping with SEC regulations we have provided and encourage you to refer to the reconciliations of these measures to GAAP resulting in our earnings release. Now to provide you with some insights into Chatham's 2012 fourth quarter and full year results let me introduce you to Jeff Fisher, Chairman, President and Chief Executive Officer; and Dennis Craven, Executive Vice President and Chief Financial Officer. Jeff?
Jeff Fisher: Thanks, Jerry and good morning, everyone. Dennis and I again are happy to be here with you this morning to report stronger than expected earnings for the fourth quarter and talk a little bit about our continued bullish outlook moving forward this year. Before Dennis and I talk specifically though about the fourth quarter, I wanted to spend a few minutes reflecting back on 2012. For us 2012 validated to many that our operating model is very strong and compelling as we saw operating performance and cash flow jump significantly. RevPAR grew 8%, well above industry performance, adjusted EBITDA rose 81%, and FFO advanced 52% to $1.30 per share, one of the highest amongst all hotel REITs. We spent a lot of time, money and efforts in 2010 and 2011, improving the condition of our portfolio to profit from what we believe will be a protracted up cycle. On the balance sheet side in late 2012 and early 2013 we executed some key refinancing initiatives that Dennis will talk to more specifically, but the goal here was to decrease our borrowing costs, make our capital structure more efficient and move out our maturities. We'll again – we'll walk you through that, but I am pleased to say we've accomplished all those goals. Additionally, as our multiple came up through the back half of 2012 and in January this year we were able to access the public markets raising approximately $53 million, which we used to acquire two very high quality hotels and what I think are fantastic locations for approximately $53 million in total. These are two great additions to our portfolio given their brand, their location, their growth opportunity and also their very young age. Additionally, we are in the process of converting our D.C. hotel to a Residence Inn, probably our favorite brand as you know, which we believe will provide much improved returns via better operating performance and certainly incremental real-estate value gains associated with that better brand for that asset. That hotel should show very substantial RevPAR and EBITDA gains as we move through the second half of this year and 2014 it should I think really, really improve nicely. We continue to improve the earnings power of the Company through aggressive asset management that is driving strong operating performance discipline and disciplined capital decision making. Our goal is to provide a well diversified properly capitalized portfolio that will produce industry leading cash flow and meaningful dividends overtime. We know that for REITs dividends drive total returns over time and our dividend is strong, well covered, our cash flow is growing and our dividends will continue to grow. Looking back on the fourth quarter, in early November, we were concerned the super storm Sandy was going to adversely affect our fourth quarter performance, so we reduced our RevPAR growth guidance to up 3% to 5%. But ultimately certain of our hotels, especially our Residence Inn in Holtsville, New York, which is on Long Island saw RevPAR grow 56%, benefited from the demand caused by emergency crews, FEMA and displaced residents in the area. Historically of course we have seen over the years that Residence Inns and Homewood Suites have always benefited when these kind of unfortunate events occur. We deferred the start date additionally on the renovation of our New Rochelle, New York, Residence Inn, that was supposed to start in the fourth quarter, but again both New Rochelle and White Plains saw increased demand in the fourth quarter as a result of the storm. So we just started that renovation here in the first quarter of 2013. So we'll have displacement in New Rochelle in 2013 that's a very high occupancy hotel over 85%, and but certainly made a great decision I think because were able to cut a front load money and take advantage of the extra demand in the last quarter of 2012. We want to be cognizant, of course, as we move through the year of the effect and Dennis will talk about that a little bit of having some of these North-East hotels with RevPAR gains that were very outsized in the fourth quarter of 2012, which of course is a pretty tough comp for us in the fourth quarter this year, but we will continue to work towards replacing as much business as we can in those assets and perhaps also additionally growing on the problem as you move through 2013. As most of you know, again those hotels are upscale extended stay hotels, just wanted to remind you that they have full kitchens in those hotels, which of course makes them very attractive to the long term guests and therefore attractive for that kind of circumstance. During the fourth quarter we generated adjusted FFO per share of $0.21 in the line with recently revised consensus estimates, driven by RevPAR growth of 7.6% above the range provided of up 3% to 5% with the growth driven equally by ADR and occupancy advances. Excluding the benefits of Sandy, our RevPAR was up still a strong 5.5% in the quarter. We drove strong operating results throughout the 18 hotels and healthy returns from our joint venture as well. In addition to the strong RevPAR growth, we continue to drive higher margins to our aggressive asset management and we saw GOP margins up 150 basis points for the quarter to 42.4% and up 170 basis points for the year to 44.6%. With occupancy in our competitive set approving to approximately 75% for the year, our ability to drive rates is strengthened. Our operating model as you know is very efficient at driving revenue growth to the bottom line. We always talk about that as operating leverage. During 2012 we produced an operating leverage ratio of 1.7 times, which again is we think a good strong number. As the cycle matures and a larger component of the RevPAR increase continues to be driven by ADR increases, our ability to generate that excess cash flow and have that strong operating leverage are to continue and therefore lead to further dividend increases as we move down the road here. Lastly I would like to touch on our highly successful joint venture investment with Cerberus in which we acquired the Innkeepers hotel out of bankruptcy. Year one of course is behind us, it was the great year with a JV providing adjusted FFO of $3.7 million for our 10.3% interest in that joint venture and our net investment now stands at $15.8 million. So obviously a very strong cash-on-cash return and that JV should experience you know good RevPAR and EBITDA growth this year as well. So those returns will be as we've talked about well in excess of 20% cash-on-cash. On the operating side RevPAR growth in that JV by the way for the core 51 hotels was 7.5% for the quarter and a full 10% for last year 2012. We like that number. The portfolio benefited from significant renovations in 2011, as well as its significant presence in Silicon Valley with eight upscale extended-stay hotels all Residence Inns and what we have always considered to be - excuse me, one high house as Dennis is waving at me here, but we've always considered to be of course excellent irreplaceable locations in Sunnyvale and San Jose and Mountain View, California for example. RevPAR in the valley continues to significantly outperform national growth with growth in a mid teens during 2012, that's mid teens RevPAR growth. We certainly don't expect that kind of growth in 2013, but we do expect strong growth in 2013 out of those assets. So again joint venture doing well and plenty of room to grow as well because when you look at GOP and hotel EBITDA margins, EBITDA margins at 38% still substantially down from the peak margins in that portfolio which were in the mid 40s, so plenty of room to grow in that Innkeepers portfolio as well. With that I'd like to turn it over to Dennis for a little more detail.
Dennis Craven: Thanks Jeff, and thanks everybody for participating. For the fourth quarter we reported a net loss of $2.4 million or $0.18 per diluted share compared to a net loss of $6.2 million or $0.45 per diluted share in the fourth quarter 2011. Fourth quarter RevPAR was up 7.6% to $102 at our 18 comparable hotels compared to our prior earnings guidance of plus 3% to 5%. As Jeff alluded earlier we benefited from the incremental demand associated with super storm Sandy that accounted for a couple of 100 basis points of the improvement. Additionally we did want to point out that we continued to gain market share with the RevPAR index up approximately 4% in 2012 attributable both to occupancy and rate indices increases. Adjusted EBITDA for the Company increased $0.8 million or just over 10% to $8.4 million from $7.6 million in 2011 with the jump attributable with continued improvement in our operating results, as well as the outperformance within the joint venture investment which closed during the 2011 fourth quarter. During the quarter the JV contributed approximately $1.9 million of adjusted EBITDA of Chatham with adjusted FFO rising approximately 13% to $2.9 million from $2.6 million in 2011, it drove a per share basis of adjusted FFO to $0.21 a share from $0.19 a share in 2011, above our guidance of $0.18 to $0.20 for the fourth quarter. Jeff has already provided key operating performance metrics for the joint venture, but I do want to provide a little color on the investment activity within the quarter. We did sell one hotel for approximately $5 million generating no net proceeds to Chatham as there was debt encumbering the hotel. To-date we have received distribution of approximately $21.2 million for almost 60% of our original investment within one-year of ownership. Of the distributions we have received approximately $12 million were derived from the refinancing in the 2012 first quarter, $5 million from net proceeds of assets sales and $4 million from cash flow from operations. One thing we do want to point out is obviously we are very happy with the cash-on-cash returns within the joint venture and those returns have been significant to-date. There is certainly tremendous value underlying the real estate investment within the portfolio. With projected hotel EBITDA of slightly over $100 million in 2013 and if you just put any type of average select service EBITDA multiple that's out there in Wall Street at the movement, you'll be able to easily come back to determine and realize if there is a tremendous amount of value accruing to our equity shareholders of Chatham. And when you combine that would be owned portfolio of 20 hotels, we certainly believe there is tremendous upside for our shareholders in the coming future. Turning our attention to the balance sheet; net debt was approximately $235 million at the end of the fourth quarter, comprised of debt of $239 million at an average rate of about 5% and approximately $4 million of cash. Debt includes $79.5 million outstanding on our $115 million line of credit and our ratio of net debt to hotel investments including our investment in the joint venture was approximately 51%. During the quarter our net debt increase $33 million due to the $28 million that we borrowed to close on the acquisition of the Portland hotel with the remainder related to deposits for the Houston acquisition and the funding of capital expenditures. As we move through 2013 with little renovation obligations, we expect to use excess cash flow to pay down our line and free up some capacity for additional investments. During the fourth quarter we closed on the three-year amendment with a one-year extension to our line of credit and raised our line to $115 million of capacity. I would like to take the opportunity to thank our bank group for their continued loyalty and dedication to Chatham. The increased capacity will provide some added flexibility for Chatham to pursue additional hotel investments. It also reduces our LIBOR spreads and eliminates the LIBOR floor which saves us approximately 250 basis points. In early 2013, we refinanced three of the five CMBS loans on our – The 5 Sisters portfolio that we had acquired in 2011 and refinanced about $80 million of debt. Additionally we paid off the – approximately $19 million loan on the Washington, D.C. hotel that as well was acquired from Innkeepers in 2011. Those loans had carried about an approximate 6% interest rate and now have a rate of approximately 4.6%, saving us approximately 140 basis points on the refinance. We have no major debt maturities until 2016 and the weighted average maturity of our fixed rate debt is now in late 2020. In the first or second quarter of 2013 we will continue to look at opportunities for refinancing the remaining loan on The 5 Sisters portfolio, as well as looking at any type of opportunities to encumber one of our two currently unencumbered assets The Courtyard in Houston, as well as the what is to be the Residence Inn, in Washington, D.C. Switching over to our guidance for 2013, just want to point out that it assumes no factors out there that we certainly of course are unaware at this point of time which could have a negative effect on the industry. But as we look specifically at our numbers, let's see the top line revenue in 2013 is expected to be in the range of $114 million to $115.5 million, up approximately 16% over 2012 levels. Other revenue is approximately 4% of total revenue for our portfolio. The hospitality industry is forecast to continue to improve in 2013 based on modest economic growth, lack of new supply growth at only 0.8% and increased business travel spending. Starwood and Marriott both, are both forecasting RevPAR to grow within a range of 4% to 7% in 2013. Our forecast RevPAR growth of 4% to 5% for the full year is going to be comprised of rate increases of – rate increases are going to comprise approximately 75% of that increase. And as we are indicated in our release the RevPAR of 4% to 5% which adversely impacted 160 basis points due to guest displacement associated with the rebranding of the DC hotel and the incremental business in 2012 from Hurricane Sandy. Excluding those effects our RevPAR growth would have been in the range of 5.6% to 6.6% for the year. As we move through to 2014 especially with respect to the DC hotel we'll certainly have an easy comp as that hotel will be operating all of 2014 under Residence Inn brand, which we think is going to provide significantly upside to that asset. On the two recently acquired assets we're forecasting RevPAR growth within the upper single digits for those two hotels, so nice growth occurring in those markets. Our first quarter RevPAR growth projection is showing growth of 3% to 5%, certainly with the rebranding of the DC hotel is currently without a brand, its projected RevPAR is expected to be down 23% in the quarter with rentals at our New Rochelle and our Garden Grove assets making up certainly some challenges for the first quarter, but with a 3% to 5% we're encouraged by the fact that we can absorb those types of impacts and still produce some nice revenue growth in the quarter. We estimate 2012 adjusted EBITDA is going to grow approximately 16% to $47 million to $48 million from $41 million in 2012 and adjusted FFO to rise significantly approximately 54% to a range of $27.4 million to $28.4 million from $18 million in 2012. On a per share basis FFO will jump 24% from $1.30 in 2012 to a range of $158 million to $164 million in 2013 with the growth attributable to our new investments and more efficient capital structure and continued margin improvements at our previously existing 18 hotels. From a margin perspective, we expect hotel EBITDA margins to rise 30 to 80 basis points in 2013 to a range 37.5% to 38% up from 37% of 2012. With ADR expected to rise approximately 3% in 2013, generally increase in wages and operating costs are offsetting some of those gains. The quarterly contribution of FFO per share is expected to be approximately 15% in the first quarter, 31% in the second quarter, 34% in the third quarter and 20% in the fourth quarter with EBITDA contributions for the same periods being 19% in the first quarter, 29% in the second quarter, 30% in the third quarter and 22% in the fourth quarter. From a corporate perspective, we anticipate corporate cash administrative expenses to be approximately $6 million in 2013 up just slightly from $5.6 million in 2012. And for corporate non-cash administrative expenses which these cost represent share-based amortization for the Board of Executives of Chatham, we anticipate these costs would be $2.1 million again up slightly from 2012 levels of $2 million. Our interest expenses are projected to be approximately $10 million in 2013 down substantially from $12.8 million in 2012. Due to refinancings we executed late in 2012 with our line of credit and loans that we refinanced in early 2013. Our projections do not include any other changes to our capital stock or equity offerings throughout the year. We forecast non-cash amortization of deferred financing fees to be $1.2 million down from $1.8 million in 2012 and income tax expense to be approximately $200,000 for the year. Lastly, after the offering in January our weighted average shares are approximately $17.5 million. From a capital perspective our 2013 CapEx plan is approximately $9 million of expenditures which is broken out as follows. Just over $4 million related to D.C. rebranding $1.5 million related the replacement of windows at our white plains hotel, $0.7 million related to brand initiatives from Hilton for bedding, and Marriott for HD capabilities and $2.5 million from miscellaneous and emergency items. From the dispositions, perspective we don't expect any in 2013 for Chatham and within the joint venture we currently only expect to complete the sale of handful of non-branded assets. Lastly and looking at the dividend in 2012 we paid out approximately 60% of our adjusted FFO as common share dividends and based on our current dividend level of $0.84 on an annual basis. Our projection is approximately 52% of adjusted FFO payout. Our confidence in the overall health of the hotel industry remains very positive and we are very pleased to reward our shareholders with two dividend increases within the past year. And with the switch to a monthly dividend we believe that reflects our confidence and our capability to award shareholders on a very timely basis. We'll continue to review with our Board of Trustees, our dividend policy on a quarterly basis to determine any potential increases in our payments throughout year. We know the dividends make up the primary component of returns overtime and our goal is to continue to build successful company that produce strong cash flow that will provide such dividend to our shareholders. Operator that concludes our remarks and with that we'll turn it over to questions.
Operator: (Operator instructions) And our first question comes from the line of Nikhil Bhalla with FBR Capital Markets. Please go ahead.
Nikhil Bhalla - FBR Capital Markets: Yes, hi. Good morning, guys.
Jeff Fisher: Hey, Nikhil.
Dennis Craven: Hi, Nkihil.
Nikhil Bhalla - FBR Capital Markets: How are you? All good, all good. In term of what happen in New York have the have the FEMA crews and everybody else kind of left now are they or is there, still some residual benefit from those people who are staying in that hotels in 4Q?
Jeff Fisher: Yeah, Nikhil. With respect to the White Plains in the New Rochelle hotels, most of that business was out by the end of [fade] by the end year once we got the holidays. Long Island Holtsville hotel still has a little bit of that business in their in January, but it's continued to fade to fade as we've moved through the year. So a little bit less but nothing significant.
Nikhil Bhalla - FBR Capital Markets: Got it. And just on the rebranding of DoubleTree here in D.C. do you expect the rate growth to be accelerating just after you finish the repositioning as a Residence Inn or if you can just give us a little color on that?
Dennis Craven: Yeah. I'll take and I'll Jeff step in. I mean I think if you saw from our press release related to that hotel. The one of the things that we do expect is that hotel to grab a more significant share of the market as a resident. Then as opposed to a DoubleTree knowing that that hotel in particular from an index perspective, was really close to about 100, which is well below where the brand historically operates. So I know just from a market share perspective, regardless of rate I think there will be certainly some rate, I'm sure, Jeff wants to talk about that, but we do expect there to be a very healthy pick up in terms of just gathering, gathering and gaining market share.
Jeff Fisher: But the issue there, I think is just honestly when to start penciling that end because no. 1, we're kind of stuck with the fire marshal with the fire life safety work that is supposed to happen that needs to happen, to meet Marriott brand standards, that hadn't even started yet. So, you know what, like a of complicated renovations this does not just [soft] goods, this is fairly major because it's an older building. The time that it's complete, we'll probably push into the third quarter, and that of course, once you turned the (inaudible) system on, you don't get the immediate bounce, so frankly I'd be and we're being careful in terms of expecting too much too soon, I would hope that as you enter the fourth quarter, we're starting to get some traction there from an operating perspective and, we would look for double digit RevPAR gains without a doubt.
Nikhil Bhalla - FBR Capital Markets: That's great. And just a quick follow up on that, when you think about the residents brand residents in brand overall versus as a DoubleTree, how much of a lift would you expect, all things being equal in terms of rate, given to your RevPAR, (Inaudible) all the metrics?
Jeff Fisher: I mean this one as a DoubleTree because it's only a 104 to 105 rooms, in the (Inaudible) in the 80s any way. So there isn't going to be much of an occupancy pick up, we would expect. And I'd to look back at our budget but even if we did we're not going to tell you the number of - but I would certainly expect in some $8 to $10 ADR range anyway, in terms of pickup could be more.
Nikhil Bhalla - FBR Capital Markets: Great. Thank you very much.
Operator: Thank you. (Operator Instructions). And our next question comes from the line of Whitney Stevenson with JMP Securities please go ahead.
Whitney Stevenson - JMP Securities: Hi there. Good morning.
Jeff Fisher: Good morning.
Dennis Craven: Hey, Whitney.
Whitney Stevenson - JMP Securities: Hi, there. Okay. So I hear your point on no dispositions in 2013 but I was wondering if you could maybe talk a little bit about what you could be targeting on acquisitions front, both for the owned hotels and in the JV?
Jeff Fisher: Yeah. The question is -- specifically is what we see on the acquisitions ftont?
Whitney Stevenson - JMP Securities: Yeah. And may be on specifically what markets you see [holds] and they could be trying to sell acquisition targets?
Jeff Fisher: Well, I think we are always in more or less a by-coastal approach, no 1. We'll always trying to be in top MSAs, like most folks but for us that's specifically, continuous to be focused in looking for California to some extent. Particularly, if for Chatham, if Chatham could get a Silicon Valley asset or two I think I'd be thrilled. Just because we see with the joint venture assets and our operating experience there still lots of upside and growth. So that's where it is definitely a target market for us. But we're also having to be opportunistic too there the deal flow this year seems to be a little better certainly than same time last year and we're going to -- trying to make deals that allow us to grow externally but also give us at least as good RevPAR growth or better as we talked about when we bought the Portland asset a little bit. Then the -- let's say the current portfolio experiences, so we're trying to get overall NAV accretion, as a result of whatever we buy and we're -- we hope we can be pretty active this year because we see this as a year, with our multiple allowing us to make accretive acquisitions. We see this as a year that we can continue to grow and push up market cap up and get more liquidity for our shareholders as well.
Whitney Stevenson - JMP Securities: Okay. Thank you.
Operator: Thank you. (Operator Instructions). And I'm showing no further questions in the queue. At this time, I'd like to turn the conference back to management for any final remarks.
Jeff Fisher: Alright well, listen we -- again we appreciate being here and able to talk to you to report the results that we've just reported. We're looking forward to having a good 2013 and frankly we're looking forward to having a good 2014 as well. We think internal growth, we think external growth, ought to be strong for us, we will be cognizant as we always are of our balance sheet, but the opportunity to - you know, to continue on a property specific basis to lock down some great long term financings at rates of course that are historically low, should be something that we continue to avail ourselves up. And again goal is to comfortably grow this company and be what we thought we always an [inception] could be which is the biggest player and certainly the most profitable player on our per share basis in this select service arena. So we will talk to you soon. Thank you.